Operator: Good morning, good afternoon, ladies and gentlemen, and welcome to the Besi’s Quarterly Conference Call and Audio Webcast to discuss the company’s 2018 Third Quarter Results. You can log into the audio webcast via Besi’s Web site, www.besi.com. Joining us today are Mr. Richard Blickman, CEO; and Mr. Cor te Hennepe, Senior Vice President, Finance. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, ladies and gentlemen, this conference is being recorded and cannot be reproduced in whole or in part without written permission from the company. I would now like to turn over the call to Mr. Richard Blickman. Please go ahead, sir.
Richard Blickman: Thank you. Thank you all for joining us today. We will begin by making a few comments in connection with the press release we issued earlier today and then take questions. I would like to remind you that some of the comments made during this call and some of the answers in response to your questions by management may contain forward-looking statements. Such statements may involve uncertainties and risks as described in the earnings release and other reports filed with the AFM. For today’s call, we’d like to review the key highlights for our third quarter and nine months results and also spend some time updating you on the market, our strategy and the outlook. First, some overall thoughts on the past quarter and the first nine months. For Q3, revenue of €116.7 million and a net income of €29.3 million compared favorably to expectations. Revenue came in at the midpoint of guidance. Higher than anticipated gross margins of 58% due primarily to a more favorable product mix and an 8.5% decrease in sequential operating expenses helped keep Besi’s net margins in excess of 25% despite a 27.6% sequential revenue decrease. In addition, orders of €107.9 million increased by 25% versus the second quarter as the month recovered for mobile applications by Asian customers. Cash generation recovered as well, with net cash increasing by €49.9 million versus the second quarter 2018 to reach €160.1 million. Besi’s nine months 2018 results reflects solid performance and strategic execution in an assembly equipment market more challenging than 2017. Revenue of €432.7 million and a net income of €113.5 million declined by 1.5% and 12.4%, respectively, versus the comparable period of the prior year. Our 2018 revenue development was affected by a first half slowdown in the high-end mobile demand followed by weakness in memory end-user markets in the third quarter, partially offset by more favorable trends experienced in automotive and computing applications. Besi responded to such challenges by rapidly aligning production, supply chain and personnel levels to new market realities. As a result, we’ve been able to maintain high levels of profitability in the current market environment. Our liquidity position improved significantly this quarter. We ended the quarter with cash and deposits of €443.5 million or €5.97 per share, equal to almost 33% of Besi’s stock price of €18.17 at such date. In addition, cash flow from operations of €65.7 million grew by almost €58.7 million sequentially due primarily to reduced working capital needs as we collected receivables and scaled back the supply chain. Besi’s strong cash flow generation continues to support a shareholder friendly capital allocation program. During the third quarter, we repurchased 593,000 shares for a total of €11.2 million. Of that amount, €9.6 million related to the new repurchase program announced at the end of July. This brings total distribution to shareholders this year to €196.5 million and €470.7 million since 2011. I’d next like to speak a little bit about the current market environment. The headwinds we experienced post Q1 spread through other equipment manufacturers in the third quarter with downward positions to second half order forecast by many companies. Reflecting changing market sentiment, VLSI recently took down its 2018 assembly equipment forecast from a revised 12% in April to under 3% recently. It sees a shallow downturn in 2019 of 3.5% followed by another upward move in 2020 with new customer investment rounds. The real question is whether the challenging conditions experienced this year reflected temporary pause or a larger industry downward move. We don’t have an answer to that currently given limited visibility, relatively short cycle times and conflicting market signals. VLSI’s estimate assumes that favorable GDP trends and high capacity utilization rates will limit the depth of any 2019 downturn. Now let me take a few moments to discuss some of our strategic initiatives in the current market environment. Periodic revenue productivity is nothing new to our industry. In fact, periods of less robust growth let us further refine our strategy and financial potential to capitalize on the next major industry upturn. As you can see on this chart, we took action in the second quarter this year to scale back headcount, primarily temporary production personnel, once we saw that market conditions were weakening. Our objective is to reduce total headcount by approximately 16% by year-end. In addition, Besi continues to reduce European headcount and has pruned back fixed headcount in certain Asian locations post the large production ramp last year. By way of such actions, we aim to keep net margins and cash generation well above prior trough levels. From a longer-term perspective, we’re on track to reduce annualized structural cost by €15 million to €20 million over the next three years. We are keenly focused on initiatives to increase Besi’s market presence, revenue growth and market share in the next customer investment rounds. The particular focus is expanding our reach into logic and memory markets in the era of the cloud and the big data. This could involve increased market share by flip chip versus wire bond equipment due to the increased complexity, accuracy and miniaturization requirements of next-generation applications. In the mobile markets, we were looking to roll out new camera, imaging and other features, proprietary networks, to help expand our presence in both the Android and iPhone worlds, particularly with Korean and Chinese customers. Another major initiative is to expand Besi’s revenue potential with the Japanese automotive supply chain as well as with existing customers. In parallel, current development activities are focused on providing customers leading-edge, advanced packaging processes, such as TCB, fan out wafer level, panel and wafer molding for next-generation devices. Now a couple of words about our fourth quarter outlook. As most of you know, Besi’s business is seasonal, with revenue and orders typically building in the first half of the year and sequentially receding in the second half. Over the past seven years, Q3 revenue has decreased an average of 16.1%, followed by another decline of 11% in the fourth quarter versus the third quarter. This year, the decreases are at the upper bends of the H2 seasonality. Looking specifically to the fourth quarter, we estimate that revenue will decline by 20% to 25% sequentially due to seasonal patterns and challenging industry conditions generally. We also anticipate that our gross margin should range between 54% and 56% due to a less favorable die bonding product mix than in the third quarter. Gross margin levels are still very healthy considering H2 revenue trends. Finally, we guide Q4 OpEx to be flat versus the third quarter as the impact of some second half cost reductions is not yet reflected in our quarterly OpEx totals. That ends my prepared remarks. I would like to open the call for some questions. Operator?
Operator: [Operator Instructions]. The first question comes from Mr. Nigel van Putten. Your line is open.
Nigel van Putten: Hi. Good afternoon, guys, and thanks for taking my questions. Two of them more of a long-term perspective. First on your revenue initiatives, that’s a very interesting slide you added to the pack. I count about six initiatives, including some of the things we’ve heard before, fan out wafer level packaging, TCB, but also I think new to me, expand in the Japanese automotive supply chain. Out of these six initiatives, do you think this could all be sort of 2019 business or is this more of a longer-term view? And I guess some of them will be more near term, some of them will be long term. And could you please maybe give us an indication what you expect more near term and more long term?
Richard Blickman: First of all, every customer today has suppliers. So in order to gain market share, either you offer better products or there are issues with the current supply chain. In downturns, it’s typically the time to challenge – and also our equipment is challenged by our existing customers versus competition and also with new equipment to be introduced in the next technology round. So overall, this gives you an opportunity to test new opportunities which usually only are in an evaluating stage in a downturn and may lead to new market share gains in the next upturn. So that’s how it typically works. Why did we list these? Well, this is not new. If you look at our development over the past decade, step by step we have increased the top 10 customer revenues. 10 years ago, the top five did about 60%. Today, it’s the top 10. So the challenge we face is to increase that further. Does that answer your question?
Nigel van Putten: Sorry, yes, that’s clear. Maybe more specifically, I think maybe just an update on something – some of the things we heard before, like fan out wafer level packaging, TCB, panel and wafer level packaging. I think in the upturn, I think in the conversations you had with us is that customers were too busy just ramping product and getting stuff out there and in even the downturn would maybe reevaluate some of these initiatives. Versus TCB, it’s been rather quiet I think for the last year or two. Would that be something that you have any visibility on of returning or is it more these are things in general that you’re working on and in the next upturn, they could potentially help or is there any more visibility on it?
Richard Blickman: Well, you have to be a bit more specific. There are two areas of ongoing development and potential change. So for fan out and TCB, it’s very important that the next technology round forces these new developments to become mainstream. That’s not clear yet. So those customers which are testing these technologies are continuing that. And it could very well be that this is also tied to the 14-nanometer design era towards 10 that may open up some of these new technologies. But in the existing world, there’s also a packing [ph] order in existence. And our equipment of course is evaluated on an ongoing basis, same with competitors. But as we share with many of you and you can find that on our quarterly presentation, we are always introducing new features on our existing machines, either tighter accuracies or combination of accuracy and speed, also reducing cost initiatives. So you’re pushing the existing envelopes and you should try to prepare yourself better for real technology changes. So that’s a combination. But as we’ve said many times, every new round is like a deck of cards. You have new opportunities.
Nigel van Putten: Right. That’s clear. Maybe just one final question then on the annual cost savings target of 15 million to 20 million by 2021. This quarter already strong but I think most temporary cost savings, but given perhaps the market challenging environment, how is the saving of these cost savings into the next couple of years? We should be maybe expect, depending on market conditions, maybe a bit more near term or is it more of a run rate towards 20 million in 2021?
Richard Blickman: The 15 million to 20 million is three main programs. Number one is moving west to east of all kinds of support functions on an ongoing basis. We are moving more than operations, the administration, the service support, technical support out of the support lab in Singapore, and that is ongoing. Then the second bucket is supply chain, further improving the Asian supply chain. That’s an ongoing challenge. Third is common modules, common platforms. In our machines, we have 18 different platforms. There are numerous opportunities to further reduce the cost by changing certain designs. And in downturns typically, those are the improvements next to the technology, as we discussed in the first question, to structurally reduce your cost. And by streamlining your supply chain, reduce your cycle times. Cycle times are fantastic already, but they can still be much better. So some are shorter term, some are longer term. It’s a combination. And that’s why every year, we should see certain achievements in reducing costs.
Nigel van Putten: Right. That’s very clear. Thank you.
Operator: The next question is from Mr. Peter Olofsen. Your line is open.
Peter Olofsen: Good afternoon, gentlemen. A couple of questions, maybe the first on memory. Both in the press release and in the introduction, you referred to some weakness in memory end-user markets in Q3. I always had the impression that your exposure to mainstream DRAM and NAND was rather modest. So the weakness that you referred to, is that mainly linked to hybrid memory? And related to that, could you provide some update on the progress you see in terms of TCB, either in hybrid memory or in other applications in terms of the number of customer engagements and when you expect a more meaningful contribution to your sales? And then I have some follow ups.
Richard Blickman: Okay, very good. Yes, you’re correct. Memory has always been a smaller portion of our revenues, somewhere around 10% and it’s sometimes slightly above 10% of revenue. Still that is an important part and if tide goes out on other areas and then – in addition, memory held on pretty long until September – August, September. So that was also for us a negative impact. On TCB development, it’s quite interesting. We mentioned also in the comments for memory there’s a distinct move towards flip chip as the next step beyond wireable. Testing that flip chip will maybe lead in a generation from now towards more TCB. But still TCB is slow, slow because of not needed yet. That is tied to 14 nanometers to 10 delay [ph]. It is also tied simply to improve flip chip capabilities from 5 micron down to 3 micron, also multi-head die bonders, flip chip die bonder introductions. So that could further delay TCB, but it makes flip chip far more exciting.
Peter Olofsen: And do you see progress in TCB in other applications?
Richard Blickman: Well, in certain logic but still not across the board, only in very specific applications.
Peter Olofsen: Okay. And then I have a follow up on automotive. So, on the one hand, we have seen retail car sales in China. In Europe, we have seen the impact from WLTP. But on the other hand, we see the structural growth in semiconductor content in vehicles. So how is that overall playing out in terms of short-term demand? How is that affecting the investment plans of your customers?
Richard Blickman: Well, there are two things. One is volume is the GDP-related automotive market. However, there are as you very well mentioned some disappointments in that sense. But then what Besi’s strength is in that market, their new packaging – advanced packaging type of solutions, smaller power and also in other areas of automotive, which have been developed in the previous downturn, which have been ramped to full production in the last two years. And we’ve specifically benefited from those changes, not from the volume increase. So as always, it is a mix. But that also leads to the comment, don’t expect automotive – historically, that has been the indication to overtake growth of the other two drivers in the industry. So communication, mobile Internet devices and also computers, they have stronger growth drivers than automotive. But automotive is between 15% and 20% of our revenue for a long time. And we’ve gained also market share in automotive in the last two, three years, especially in the last year with the ramp. And that may also lead to further market share gains in the automotive, as indicated in the comments.
Peter Olofsen: Okay. But at this moment, you don’t see any hesitation from your clients to kick back on spending given all the uncertainty in their end market?
Richard Blickman: I would say not yet. You would only see that once GDP starts to slow down.
Peter Olofsen: Okay. And then my final question is around M&A. So you clearly have an M&A war chest following the issuance of two convertibles in recent years. Now we have seen the valuation of your own stock coming down but also for listed peers. But has that also resulted in the expectations of potential sellers becoming more realistic?
Richard Blickman: Well, you have to look at it more fundamentally. When do people sell? There are two periods in general. One is selling in an upturn and the next one is in a downturn when certain customer – company-specific metrics do not offer better growth in future cycles. To be more specific, skill is important, certain capabilities, longer-term growth and development of operations on a global basis. And in downturns, those consolidation or real integration of companies leading to more optimum cost structures are being evaluated. And depending upon the length of a down cycle, more or less of these opportunities are being investigated. And basically, we’ve been very clear all along. For us, it’s only interesting to look at acquisitions which improve our market’s position towards our customers, but moreover improve our margin structure. And that is the key to look at. We are not dreaming of increasing scale and by that, increasing margins. Margins are product related. So you have to look at potential improving above the current margin structures.
Peter Olofsen: And there you’re referring to the gross margin or the EBIT margin?
Richard Blickman: Always gross margin. In equipment business, number one is gross margin because that’s the value customers provide to specific products.
Peter Olofsen: Okay. Then my final question which relates to the mobile market. I noticed that order intake was up in Q3 compared with Q2 and you referred to higher bookings for mobile applications. So is that an indication that in that particular market, the worst may be behind or is there also some quarter volatility in play and therefore we should not read too much in that pickup?
Richard Blickman: Well, as you can see in Slide, I think it’s 24, the inside of a high-end smartphone, we’re involved in many of the components in those products. And those components also have specific cycles. In addition, customers are always improving those specific modules in terms of yield and in terms of cost. So the orders in the third quarter were related to other parts in those mobile devices than in the first half of the year, but still highly attractive. But it’s not a new round of smartphones. It is improvements, additions to the current generations.
Peter Olofsen: And when you say improvement to current generations, you’re referring to packaging technology or current generation of smartphone features?
Richard Blickman: Features. So all those features, they all have a lifecycle and they all have – they are not all, let’s say, succeeded at the same time. So there are certain features which have been introduced last year. Some of those processes can be improved. So that’s why we had a substantial amount of certain kits onto those machines improving the yield and increasing the output of those machines. And there were some new features, but also in the existing technology generation. Maybe in a year or – yes, that’s the usual pattern, two to three years, you have a whole new generation. So '17 was the launch; '18 improvement year, '19 maybe preparation for the next round. That’s the typical cycle. There’s also a slide in our presentation going back to 2006 in the appendix where you see those generations over time.
Peter Olofsen: Okay. This is helpful. Thank you.
Operator: The next question is from Mr. Paul Morland. Your line is open. Please go ahead.
Paul Morland: Good afternoon. I wanted to pick up on the statement about the cycle, whether it’s a traditional downturn or not, who really knows. But in your words, would you describe 2015 as a traditional downturn for Besi?
Richard Blickman: Yes. '14 was a peak. '17 was a peak. '18 is, let’s say, sunset of the '17 cycle. And there’s a very usual – '16 was a slower year and '17 was the next peak.
Paul Morland: And in terms of seasonality, you’ve been very clear on how that works certainly from a revenue point of view. Would you also expect the type of seasonality that you’ve seen from an order booking point of view? Do you think that will be maintained or are we in such a volatile period that you can’t really say that about what’s going to happen in Q1?
Richard Blickman: Well, if you – you’re very right. As we said in the comments, our visibility is typically a quarter. Most of our customers, if you simply map the end customers, they also don’t provide that visibility. So then you have to look at patterns. And the patterns are usually stronger first half than second half because of consumer end products, which are mostly launched in the second half of the year. So production is built up in the first half and more towards the second quarter then. So whether it’s a slower year or a stronger growth year, the seasonal patterns have mostly been as they are. But that’s to be seen. It’s too early to tell.
Paul Morland: Understood. And just a clarification. Just if we look at the internal orders again, if we look at Q2 and we look at the €86 million that was booked in Q2, is that including the order cancellation, the missing 28 million that got canceled?
Richard Blickman: Yes. So for clear understanding, actually those orders should not have been placed in the first quarter. So yes, in numbers and it’s right but your statement is very correct.
Paul Morland: Okay. That’s very helpful. Thank you very much.
Operator: The next question is from Mr. Antoine Bukoff [ph]. Your line is open.
Unidentified Analyst: Hi. Good afternoon. Thank you for taking my question. Just a real quick one on the balance sheet. I see you’re – obviously after the two – issuance of the two convertible bonds posting fairly significant liquidity resources now, how much of that do you actually need to run the business on an ongoing basis? And I guess the previous caller did mention M&A opportunities but I was just wondering, is there an opportunity given where some of your convertible bonds are trading at the moment for you to apply some of that liquidity through buyback bonds?
Richard Blickman: Well, that’s an interesting thought. We’ve done this in the past. We issued our first convert in 2005. We bought back in 2008 at the second half when markets started to deteriorate. It’s very attractive terms, about 40% of that outstanding convert. That’s not the case today yet. But you’re very right. If you see at our cash flow generation, we don’t need to convert for our own operation because as always mentioned we use additional capital for strategic objectives. And as I answered to a previous question, yes, there are certainly M&A opportunities in this world. And the best is to be prepared for that and especially situations in downturns which then offers our shareholders far more attractive returns than financing those acquisitions in downturns. So we have a history of raising capital in upturns and spending it wisely on strategic developments in downturns.
Unidentified Analyst: Okay. That’s very helpful. Thank you.
Operator: Next question is from Mr. Robert Sanders. Your line is open.
Robert Sanders: Hi. Good afternoon, everyone. I actually joined a little bit later. Apologies if you answered this in your opening remarks. But I just had a quick question on the China tariffs. A lot of the IDMs use packages in China and it does seem like they’re looking to go to the Philippines and Malaysia quite fast. I was just wondering on your China business only, have you seen any hesitation from those packaging companies given the threat of tariffs. And I’ve got a couple of follow ups. Thanks.
Richard Blickman: Yes. Well, the answer is yes. And it’s widely publicized. So there will be a reset of capacities in the region. Some are expanding in Vietnam, some are in the Philippines, some in Taiwan. So that’s happening.
Robert Sanders: Got it. And so presumably then that means that companies have to re-qualify lines in these new countries. But once they do, presumably that could actually lead to more demand for your tools as they qualify and ramp up and the other tools in China stay idle, or is that something you’d think is not significant?
Richard Blickman: Well, I would like to say it differently. The risk you run is that this leads to an overcapacity. So having multiple production volumes is potentially a risk to utilization rates, but not at this moment yet.
Robert Sanders: Got it. And just a couple more questions. So you obviously had a great year in 2017, led by a major OEM and what they were doing on the front side of the device. I was just wondering given how active they are on their solution for the world-facing side, whether you thought that opportunity, whether it ramps in 2019 or 2020 nobody knows I think at this stage with most people seem to think 2020, whether that opportunity could be as big as it was for you in 2017, because I think that could potentially be a big recovery thing – driver for you. But I’m just interested whether you might see some reuse of the existing tools out there.
Richard Blickman: Well, reuse is not to be expected. But if things go as they go, and then – yes, look again at the slide going back to 2006 where you see in every cycle we have increased substantially; 2010, 2014, '17. We’ve done our homework right. You can see that in the margins. If we continue to do the development right, there could be a significant higher next round again. And that’s of course our challenge. But our chances have improved.
Robert Sanders: Okay, great. And just last question for me. Given the yield issues that are well known at the major U.S. IDM at 10-nanometer, it seems to me one of the issues along with many other issues is that the die size is too large and they do seem to be moving in this kind of chiplet direction as are a lot of the foundry customers as well. I was just wondering, if you were to see a kind of wholesale migration to this chiplet approach rather than having large dies, how significant could that be for your business and how material it could be in the next couple of years? Thank you.
Richard Blickman: We’re developing on both fronts. So the challenge for the large dies is clearly for all of us an opportunity. And also accuracies further decrease. So that’s one direction. And the other direction is of course multiple dies to solve that. Those are very significant developments for next year. And in a year from now, we will know much more. But it’s fair to say that Besi is involved in all these developments.
Robert Sanders: Got it. And it could be a material driver rather than – so not just a kind of 2% of revenue driver. You’re talking about something quite material potentially?
Richard Blickman: Yes, it will be the next-generation mainstream. But with the extension of the 14-nanometer world, that also does us pretty well.
Robert Sanders: Okay, great. Thanks a lot.
Operator: Next question is from Mr. Edwin de Jong. Your line is open. Please go ahead.
Edwin de Jong: Good afternoon, gentlemen. I have a few questions left also on – what is your direct exposure now? It’s still a lot to the export sector there. And are you thinking about changing your footprint or – yes, maybe elaborate a little bit on that.
Richard Blickman: If I understand you correctly, so if there are more investments outside of China?
Edwin de Jong: Yes, by you. And are you expanding more outside of China now? You’ve expanded quite fast in the first few years to broaden your Chinese footprint.
Richard Blickman: It’s an excellent question. First of all, China capacity has been on top of the existing capacities in Malaysia. Technology moves. So next generations are always first built up in Malaysia and we are certainly capable to do more in Malaysia because we have offloaded step by step. By year end, we should be able to build all platforms in China. So that gives us the flexibility to do in both locations the existing product ranges. So we’re very well fit for both.
Edwin de Jong: Okay. So you’re relatively independent on what’s happening.
Richard Blickman: Yes, but we can also export out of China. China is very happy to export.
Edwin de Jong: Yes, they are. They are.
Richard Blickman: So it’s not only for China, China, but of course that is most preferably. But still, it is in an early phase. So it offers us great flexibility.
Edwin de Jong: Okay, clear. And then maybe a little bit on the M&A opportunities. Can you maybe say a little bit on – are there more opportunities coming by in the last few quarters than there were a year ago, or maybe give some flavor? Are you looking at more propositions now or are you actually really looking at something now or --?
Richard Blickman: We’re always looking at the world because it’s very exciting. But it’s fair to say that in the second half of the cycle sunset, there are definitely more companies for sale than in the first half of a cycle. So many smaller companies are typically for sale in that phase and then mostly the companies with lesser margins, lesser product positions and often issues.
Edwin de Jong: That’s not what you’re looking for, right?
Richard Blickman: Well, it depends on the opportunity. When things are in a better situation, when it offers potentially higher margins, that’s the only reason you should spend effort on that. But then everyone revisits a strategy, a big picture strategy in every cycle. And the bigger pictures are typically discussed more in the trough of a downturn.
Edwin de Jong: Clear. And finally, I think that Robert already asked much of this, but the – in the 3D sensing part, one of your main clients is also expanding into Android. What are the consequences for you at the moment? How’s that market looking for you? What is the potential?
Richard Blickman: Well, not much has changed in that sense. Any application with those technical requirements, but also there are more suppliers of 3D sensing. But also their technology is changing in a sense multiple cameras, different modules again. So there’s a lot of development ongoing for the next generation where we are involved. And hopefully, we will benefit from those new cycles.
Edwin de Jong: That’s great.
Operator: The last question is from Mr. Peter Olofsen. Your line is open.
Peter Olofsen: Yes. Thanks for taking the follow up. It’s about the gross margin which was above expectations in Q3. In response to one of my earlier questions, you referred to selling kind of upgrade kits. Is that what drove the gross margin upside or were there some other product categories which were rather strong, like plating, for instance?
Richard Blickman: Well, also again a good question. We have I think said several times that the mobile Internet devices as such are not the highest margin products. That’s a highly competitive world. So the higher margins are in other applications. And the mix determines then the final margin. So we have many different products. Is it more plating? No. But it’s across the board. Otherwise the margins are not in the high 50s. So yes, some of it is – retrofits are higher margin. Sometimes they’re not because there can be technical issues. So it’s not easy to say it’s because of this or because of that.
Peter Olofsen: No, but --
Richard Blickman: [Indiscernible] was also very strong with the ramp of the new generation phones. So there were many items contributing to a favorable margin development.
Peter Olofsen: Okay. But at least the end market mix was supported. But then still you have a backlog and an order book going into the quarter. So I would guess you have a reasonable insight to which customers you will ship.
Richard Blickman: Yes.
Peter Olofsen: So where did then the positive surprise come from?
Richard Blickman: Basically from the different mix compared to the second quarter of less high-end mobile product applications. So the percentage is less, but that’s in general terms. And we had some favorable other orders which had higher margins than we anticipated, some supply chain improvements coming through, some cost savings. We had less underapplied. We expected due to the decline that we would have a larger underapplied. But we were able to reduce our flexible headcount faster. So it’s a combination.
Peter Olofsen: Okay. That’s helpful. Thank you.
Operator: Mr. Blickman, there are two more questions. Is there any time?
Richard Blickman: Of course.
Operator: Yes. The next question is from Mr. Jim Fontanelli. Your line is open.
Jim Fontanelli: Yes. Thank you. You touched on earlier the opportunity around world facing whether it comes in 2019 or 2020. I was just wondering whether you are agnostic around the technology choice for world facing. So whether it would be primarily a structured light, LED solution or time-of-flight solution, does that make any difference to your overall revenue opportunity into world facing whenever it launches?
Richard Blickman: Well, yes, but as said many times, those decisions are taken much later than the development path. We can’t make a judgment today whether this direction or that direction will prevail.
Jim Fontanelli: And so are you in a development process that encompasses both of those potentials?
Richard Blickman: Yes. But what could also happen is that the next generations are still being sold with existing. It’s very difficult. That was the disappointment we had in Q2 that the expected change of the design of a certain module simply was pushed out because the yield was unacceptable.
Jim Fontanelli: Right. And then maybe just a follow-up again on the 2019 investment backdrop. Clearly, there were two sort of big wafer migration programs sitting out there for your largest foundry and logics customers to 7 or 7 plus and to 10, respectively. Have you seen any of that of the advanced packaging investment cycle sitting behind those two sets of wafer migrations? Have you seen those yet in terms of order flow or is that something we can expect later on over the course of the next few quarters?
Richard Blickman: Later on. It’s still development phase.
Jim Fontanelli: Great. Thank you.
Operator: The next question is from Mr. Robert Sanders. Your line is open.
Robert Sanders: Just a bit of housekeeping. Just on your dividend policy, is it still – we should model still 80% of earnings? That seems to be the ballpark, but I just wanted to check. Thanks.
Richard Blickman: Well, it’s between 40% and 100%. So we’ll make that call in February once we have the outcome for the full year and also the better view on '19. But that’s the range.
Robert Sanders: Got it. Thank you.
Operator: There are no further questions at this moment.
Richard Blickman: Well then, I thank everyone for spending the time and the questions, very interesting. When you have any further questions, please don’t hesitate to contact us. Thanks. Goodbye.